Operator: Good morning, and welcome to the Heliogen Third Quarter 2022 Earnings Conference Call. As a reminder, today's call is being recorded. [Operator Instructions]. I would now like to turn the call over to Louis Baltimore, Heliogen's Vice President of Investor Relations, for opening remarks and introductions.
Louis Baltimore: Thank you, operator, and good morning to everyone. We're glad you could join us today for our third quarter 2022 conference call. With us on today's call are Bill Gross, Heliogen's Founder and Chief Executive Officer; and Christie Obiaya, our Chief Financial Officer. Heliogen issued its results yesterday afternoon in a press release that can be found on the Investors section of our website at heliogen.com.  As a reminder, our comments on this call include forward-looking statements, which are subject to various risks and uncertainties. These statements include expectations and assumptions regarding the company's future operations and financial performance, including: Our guidance for full year 2022; the expected impact of recently passed federal legislation; discussions with potential customers; and commercial contract progress.  Actual results could differ materially from those contemplated in the forward-looking statements. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. Factors that could cause actual results to differ materially can be found in yesterday's press release and other documents filed with the SEC by the company from time to time, including our amended annual report on Form 10-K/A.  During this call, we may also refer to certain non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for, or in isolation from, GAAP results. More detailed information about these measures and a reconciliation to the most comparable U.S. GAAP measures is contained in the press release issued yesterday, which is available in the Investors section of our website and was furnished on Form 8-K with the SEC. A replay of this call will also be available on the Investors section of our website this afternoon.  And with that, I'm pleased to turn the call over to Bill Gross, our Founder and Chief Executive Officer.
William Gross: Good morning. Heliogen had an extremely busy and productive quarter. The passage of the Inflation Reduction Act has significant positive implications for our business. We have looked at the incentives and depth and are now focusing our business to take maximum advantage of them. In addition to that, we have some very good news and some bad news.  I'll start with the bad news first. The bad news is that we do not expect to break ground on our first commercial scale project in the fourth quarter like we had anticipated due to having not yet signed the contract on that project. Groundbreaking is now planned to be a 2023 event. In addition, we now expect our revenues for the full year of 2022 to be in the range of $12 million to $14 million, down from our previous guidance range of $20 million to $25 million. This is driven mainly by delays in certain activities on our HelioPower project in California, and the associated revenue will shift from 2022 to 2023. You'll hear more about that from Christie later during this call.  The good news is that because of the hydrogen production subsidies of $3 per kilogram in the Inflation Reduction Act, we are seeing more intense interest in hydrogen offering from potential customers and provides a meaningful boost to our project economics. We had previously anticipated that hydrogen demand would not accelerate until later in the decade. But with the strong new incentives to our business, hydrogen is both viable and exciting immediately, as you will hear about in just a minute.  There has been a massive shift to electric vehicles in the past year, and large-scale solar and wind farms are being built to meet charging demands. Long-range transportation, however, such as trucking, shipping and aviation, still need the energy density of fuel. Hydrogen as a green energy carrier activates these enormous markets and many others. We believe the passing of the Inflation Reduction Act and the hydrogen production tax credit will be a game changer for us.  As an example of the way we're capitalizing on these seismic shifts, yesterday we announced that we've signed a memorandum of understanding with the city of Lancaster, California to build a green hydrogen production and fueling facility that is expected to supply up to 1,500 metric tons of green hydrogen fuel per year. We have also accelerated development of our 3,300 acre Brenda green hydrogen project in Arizona. The project will be an example of our revolutionary concentrating solar thermal technology, creating zero CO2 green hydrogen that the IRA was designed to incentivize.  Another example that highlights the diversity of hydrogen's applications and Heliogen's fit within the hydrogen value chain is the previously announced LOI we signed in August with Dimensional Energy. Dimensional Energy has developed a process utilizing hydrogen and carbon dioxide to synthesize sustainable fuels. We are embarking on a demonstration project to produce hydrogen for this process. Dimensional Energy has supported Heliogen in providing technical information for our conditional use permit with the city of Lancaster, and the Dimensional Energy team is ready to work with Heliogen to install their equipment as soon as the CUP is approved. We continue to make great progress to be able to deliver against these exciting projects.  Next, I would like to give you an autonomous vehicle and production line update. We designed and built our autonomous cleaning vehicle that we call the ChariotAV entirely in-house. Using LiDAR, cameras, GPS, robotics and our own proprietary AI software, the vehicle maintains optimal heliostat performance and lowers the cost of maintenance by automatically cleaning the mirrors each night. We recently completed initial field testing of the ChariotAV's driving and cleaning functionality.  Heliogen's concentrated sunlight fossil fuel replacement technology is unique in that our components are produced in an automated factory as opposed to individually constructed in the field. That is the result of our revolutionary software control system that enables the use of many thousands of small factory-made heliostats.  Since our last conference call, we have continued to make progress toward our goal of beginning assembly line heliostat production by the end of this year. We remain on track to accomplish this goal on time. We have completed the installation of all the equipment on our automated high-volume heliostat manufacturing line, including the quality assurance tool that tests each mirror individually for proper shape as it comes off the manufacturing line to ensure optimal pointing accuracy and reflectivity.  We are in the final qualification of our production lines to support our first customer's field. We will continue to expand our production capacity in Long Beach thereafter to be capable of producing up to 1.5 million heliostats per year. Completing final qualification next will give us sufficient time to have the necessary heliostats manufactured and ready for deployment at our first commercial scale facility in 2023.  Now I would like to turn it over to Christie to give you an update on our recent progress and our finances.
Christiana Obiaya: Thank you, Bill, and thanks to everyone for joining us. First, I'll share an update on how we are progressing against the goals we set earlier this year. Then I'll talk about our financial results and updated revenue guidance. And finally, I'll provide some additional detail on the implications we see from the Inflation Reduction Act.  Earlier this year, we introduced guidance of 2 to 3 modules contracted. We expect that our projects with Woodside and Rio Tinto to get us to the low end of that guidance. While we do have the full contract signed for the HelioPower project with Woodside, we have not yet signed the second full contract. We're still aiming for that second contract to be finalized before year-end. And in the meantime, we've continued to make commercial progress with other prospective customers.  If you turn to Page 12 in our earnings presentation, you'll see an overview of our recent progress since the start of the third quarter. As Bill mentioned, we recently entered into a memorandum of understanding with the city of Lancaster for our commercial scale, green hydrogen production and fueling facility with a capacity of up to 1,500 metric tons of green hydrogen fuel per year, intended to help the city of Lancaster achieve its goal to become one of the first net zero cities in the United States. The facility is expected to produce green hydrogen that can be sold to industrial customers in Lancaster and the Greater Los Angeles area. The MOU is subject to negotiation and execution of a definitive agreement. This project should qualify for even more benefits than our steam offering, including the hydrogen production tax credit and the thermal storage investment tax credit.  As it relates to the new technologies we're developing, we were recently selected to receive a $4.1 million award from the U.S. Department of Energy's Solar Energy Technologies Office to accelerate the large-scale development of our concentrating solar thermal technology to decarbonize the heating of limestone to 950 degrees Celsius, which greatly reduce the carbon emissions associated with cement manufacturing.  In collaboration with the Colorado School of Mines, the University of Michigan, Martin Marietta and CTP advanced composites, we aim to develop and demonstrate a foundation for developing a commercial solar calcination system, enabling CO2 capture and heat recovery. With Heliogen's AI-based control system, we can achieve the high temperatures required for solar thermal calcination.  Cement production is incredibly energy-intensive. It contributes 7% of global CO2 emissions. Over 80% of the energy used in cement production comes from this calcination process, so this one application alone can have an incredible impact on reducing the world's carbon emissions.  If you now turn to Page 13, you can see the set of key commercial and execution milestones. We laid these out back in March. Bill has already described the strong progress we've made on several of these goals, and so I'll touch on the groundbreaking milestone.  For our first commercial scale module, our project at Rio Tinto's mine in Boron, California, we had expected to break ground on that project sometime this year. However, we are standing down on groundbreaking until we have a signed contract. We've decided to take this additional time as an opportunity to further optimize the design of the plant and to bring project procurement and sourcing in-house, alongside our direct and indirect material procurement effort that supports our heliostat manufacturing. Doing this will help us manage our scheduling and design control more effectively, while giving us the opportunity to negotiate costs directly with the vendors. It also gives our team the ability to build long-term relationships with vendors and fabricators that will further support our long-term cost reduction goals.  Turning to our third quarter results, which you can see in the guidance and financial update on Page 15 of our earnings presentation. Heliogen reported $3.1 million in revenue on contracts in progress, bringing our year-to-date total revenue to approximately $9 million. You may recall that our revenue recognition is done by the percentage of completion methodology, where we recognize revenue in proportion to the cost we have incurred for an individual project. We've said previously that we expected our revenue this year to be second half weighted. And that's because we had expected to ramp up spending on our Capella project with Woodside Energy, in addition to signing at least 1 more contract.  Our previous guidance of $20 million to $25 million in revenue assumed that we would issue some big ticket purchase orders during the third and fourth quarter, which have now shifted to the right. The delay in issuing those purchase orders is driven by our work to optimize the plant configuration, which took longer than expected to conclude. This led to lower-than-expected Q3 actual costs incurred and revenue earned, and it will have a similar effect in Q4. We now expect our full year revenues for 2022 to be in the range of $12 million to $14 million compared to our prior guidance of $20 million to $25 million.  While we are disappointed about the delay in progress on the Capella project, we believe that ultimately, the work the team has done on plant configuration was the right work for both our customer and for us as a company. And I should point out the reduction in revenue for this year is merely a shift in timing into next year. The total project revenue hasn't changed.  Now if you turn to Page 16, you'll see we have provided some additional details on some of the ways we expect the Inflation Reduction Act to benefit Heliogen by boosting the demand for our towers here in the U.S. Most of these benefits accrue directly to the asset owner, and our business model involves building and selling towers to our customers. The biggest boost comes from the base investment tax credit, or ITC, of up to 30% of qualified project costs. By meeting prevailing wage requirements, we expect to qualify for the entire 30%. There's a 10% adder if certain domestic content requirements are satisfied. With the benefit of our U.S. manufacturing footprint, we are well positioned to meet the domestic content requirements. On top of that, there is another 10% adder for projects located in what's known as an energy community or a low-income community, each as defined in the IRA. We expect that both Lancaster and Boron qualify for this 10% adder.  With the base ITC, the domestic content requirement and the energy or low-income communities adders, we expect our initial domestic projects to qualify for a 50% ITC tax incentive. Thermal storage, which has historically not been eligible for the ITC, is now included too. We expect these ITC benefits to accrue to Heliogen both directly and indirectly. Indirectly, the clean energy incentives in the IRA served to reduce the customers' after-tax cost of our products. By making the economics more attractive to our customers, this should therefore provide a boost to demand for our products here in the U.S.  Directly, since we priced our products relative to our customers avoided cost of fossil fuel, we factor the customers benefit from these incentives into our avoided cost calculations when we priced our projects. We don't expect to capture all of the incentives via higher pricing, but instead we should be able to share in these benefits alongside our customers, both directly on the demand side via improved pricing, and indirectly via increased demand for our products.  In addition to these ITC benefits, the IRA added a new $3 per kilogram hydrogen production tax credit, or PTC, and a 3-year extension and modification of PTCs for facilities that begin construction on or before December 31, 2024. We expect this new hydrogen PTC, which can be stacked on top of a project utilizing the clean energy ITC, to significantly increase the value of the hydrogen project we're working on in the Brenda Solar Energy Zone in Arizona, right across the border from California. This hydrogen PTC is also a big driver of our decision to enter into the MOU with the City of Lancaster for a green hydrogen production facility that Bill talked about earlier.  There's also a sustainable aviation fuel PTC of up to $1.75 per gallon, depending on the life cycle carbon reduction of the fuel. Based on the way that we plan to produce SAF with Dimensional Energy pursuant to our earlier LOI, we expect SAF produced at those facilities to qualify for the full $1.75 per gallon.  And last but not least, there's an additional $3.6 billion made available to the Department of Energy's Title XVII loan program, raising the total funds available to $40 billion under that program. We plan to apply to this program for the hydrogen development on our lease in the Brenda Solar Energy Zone as well.  Collectively, the IRAs' attractive incentives have created tailwinds for basing projects here in the U.S., and we're seeing our customers with large global footprints, looking more favorably at the U.S. as a location for renewable energy projects compared to other countries. Since both our headquarters and our first manufacturing facility are located in the U.S., a greater bias to siting projects here in the U.S. reduces the logistical complexity of developing our projects overseas. As we grow, we do plan to build new manufacturing facilities in our core overseas-focused areas, but we have a large head start on this process here in the U.S. already. While this factor is probably more net neutral to total demand for our products, more projects sited here in the U.S. should benefit us from a cost perspective and help drive margin expansion.  Now I'll share an update on our liquidity position. Previously, we've said we have sufficient liquidity through near the end of 2023. We now expect to extend our runway into early 2024. This continues to provide sufficient time for us to hit our near-term milestones, including laying our first tower. We've also acknowledged on prior calls that we will do another capital raise, but that is not an immediate need for us. We expect to get a capital raise done some time in 2023. And in the meantime, we'll continue making commercial and execution progress.  With that, I'll turn it over to Bill for closing remarks.
William Gross: Thank you, Christie. In September, we hosted an Investor and Analyst Day at our manufacturing facility in Long Beach, California, and we gave a tour of the automation and quality control systems we have in place. We are very proud of this accomplishment and the team of people who built this, led by Andy Lambert.  If you haven't seen it yet, I want to encourage you to look through our presentation from that day, which we posted to our website on September 13. This provides a detailed look at our Long Beach facility, showing that we do everything from automated high-volume manufacturing to accelerated life cycle testing of our products and rapid prototyping. Additionally, that presentation provides a detailed technology update and some more information about our commercial strategy, customer targeting and the industrial heat market opportunity set.  I'd like to conclude today's call by saying how thrilled I am to lead Heliogen toward executing on our mission to help decarbonize the world by replacing fossil fuels with energy we create by concentrating sunlight. Despite some of our milestones and revenues shifting to the right, we see that our market opportunity has enlarged in this past quarter significantly. I thank you for your support, and I can't wait to report to you that we've signed additional contracts and broken ground on our first project.  Thank you so much for your attention, and we look forward to answering your questions.
Operator: [Operator Instructions]. First question comes from Rob Wertheimer with Melius Research.
Rob Wertheimer: So I had a couple of questions, and I understand there may be commercial sensitivity to this, so feel free to say you can't answer, obviously. But the milestones or roadblocks to getting Rio signed, I don't know if I'm connecting the dots correctly. But it seems as though there's additional funding/support available from the IRA and that's caused a renegotiation. Is that correct, incorrect? What's the steps to getting that deal signed?
William Gross: The additional benefit from the IRA is not causing any additional delay. We are primarily focused on the integration of our system with their existing plant. So there are complications in the negotiation just to carry out every detail and plan for the 20-year operation of our facility at their facility.  Those are the normal steps of integrating our product with the customer. The great news about it is once we have that worked out, that will be scalable to all additional work we do for them or other customers. But we're working out, for the first time, for a first-of-kind operation, all the details to integrate with their plants.
Rob Wertheimer: Okay, perfect. I think I understand that. So it's a reasonably complex engineering process with some decisions that affect costs, and that's what's causing you to delay or them to delay the contract?
William Gross: Yes. And we've been very impressed with the level of engagement that their team on the ground has had with us to work out all those details.
Rob Wertheimer: Okay, perfect. I think I get that. And then I'm sorry, and apologies if I mixed this up, but could you talk about Woodside and what, if any, delay is involved in that project?
Christiana Obiaya: Yes, sure. I'll take this one. So to your point, we have to step up and own the reason for the delay. But when I get into the reasons behind it, part of it is about squeezing the greatest benefit out of the project for our customer, Woodside, and for our company. Because you may recall that this is actually a commercial scale demonstration project, which includes some novel features beyond Heliogen's core IP, such as the supercritical -- the sCO2 turbine. We're applying the DOE award scope to the project, and so that includes some additional features.  And so we took some additional time on the plant configuration. Essentially, that means we're taking our lumps now with the expectation that we have a more robust design to execute on. At the end of the day, we believe that our shareholders and stakeholders are supporting us for this long-term demonstration of the technology and the potential. And so while, of course, we're disappointed in the shift, we think it will play out in the long term to be an overall benefit.  And in the meantime, it's important to note that the $84 million in revenue for the total project has not changed. We're just shifting revenue from 2022 into 2023.
Rob Wertheimer: Okay, perfect. And then Christie, since you're here, the extension liquidity into 2024, is that a tighter SG&A? Is that some of the announcements you make? I don't know if you can provide any clarity on that.
Christiana Obiaya: Yes, it's both, really. I mean I think we've been prudent about spending decisions. And so as things have moved out, such as with the signing of the contract, we've also made decisions to ratchet down spending where we can. And so that has led to an improvement in our liquidity position.
Rob Wertheimer: Okay, perfect. And then one more just kind of more big picture one. The potential of decarbonized cement is obviously very large and as you've mentioned, pretty exciting. Can you talk about customer involvement? Are folks watching this? Have you got things in pipeline around cement? Do you need proof of concept in the last year or so? Maybe just talk about that end market and how you're approaching it.
William Gross: One of the key benefits of our technology is that we can go to high temperatures. So of course, we can produce steam that our customers need. And of course we can produce electricity, which we need for green hydrogen. But we also can go all the way to 1,000 degrees centigrade and above.  And at around 900 degrees to 1,000 degrees, you can perform calcination, not only of cement, but calcination of other very high-value materials like lithium extraction, other elements that are needed greatly for the electrification of vehicles and the whole revolution in new materials for energy storage.  So we are working on projects in the calcination area. We don't have any specific relationship with the cement company we can announce right now, but we have exciting news to come in the calcination area because our technology is so perfectly suited to that.
Rob Wertheimer: Okay, perfect. And then maybe, if I can, just one last one. How is the IRA affecting -- I mean you mentioned one on Lancaster already, so it's already had an impact. I don't know if the equity partnership is identified or you're still -- you're out looking.  But just in general, you mentioned the shift towards North America. Is your pipeline changing? Is the prospect funnel changing meaningfully as the IRA has come into place? And then what sort of time frame might be reasonable for people to sort of digest all the potential incentives and to get projects underway? And I think I'll stop there.
Christiana Obiaya: Yes, that's a great question, Rob. I think we believe that the IRA essentially turbocharges a lot of areas that we saw being nascent, such as hydrogen. And that sort of thing is absolutely driving us to take a fresh look at how we prioritize opportunities, and it has brought more of our focus into projects in the U.S.  And then the other thing that I'd say is we've had a lot of inbound engagement from equity investors and strategic counterparties on the hydrogen project opportunities that we have in front of us. That includes both Brenda and Lancaster. And so we've been really pleased to see that, and we anticipate that continuing, and we look forward to making progress on that. And so making more -- steering more with you during the next couple of months.
William Gross: I would add one more thing too. Thank you, Christie. One more thing is that the fundamental things that account for customers and customer attraction are several fold. Number 1 is what is the cost of fuel? If the cost of fuel is really high, then we can beat that very handily with concentrated solar. If the cost of fuel is very low, then it's more challenging. But cost of fuel is a big factor.  Second factor is amount of sunshine. And that's where the Southwest United States, Australia, Chile and other places really shine. But the third factor is government incentives. You take all 3 of those things together, and that makes your project economics work out. These new incentives in the United States really, really turbocharge the project economics right here at home, which is great for us too, because of our double whammy -- we manufacture here.  So we have less shipping. We have the extra 10% incentive because we manufacture in the United States, and we have now these other incentives on top of that. So it really, really does make the United States a leader. And I feel that other countries are looking to the United States now saying, "Hey, we don't want all the innovation to happen there." We believe over time, other countries are going to try and match this incredible bill that was passed here to make the world more level. But for right now, this is an incredible incentive for us right here at home.
Operator: Thank you. We've come to the end of the Q&A session. This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.